Operator: Good day, and welcome to the Ivanhoe Mines Q4 2021 Financial Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to the Vice President, Investor Relations, Mr. Bill Trenaman. Please go ahead, sir. The floor is yours.
Bill Trenaman: Thank you, operator. And hello, everyone. It is my pleasure to welcome you to Ivanhoe Mines Q4 and year-end 2021 financial results conference call. Please note that we will finish today’s event with a question-and-answer session. You can submit a question using the Q&A area on the webcast page, as well as through the conference operator via your phone line. Given our time constraints, it is unlikely that we will be able to answer every question today. Our apologies if we run low on time, but our IR team will endeavor to collect all questions for follow-up. Before we begin, I would like to remind everyone that today’s event will contain forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Details of the forward-looking statements is contained in our news release issued earlier today. It is now my pleasure to present the first segment of today’s call a brief introductory message from our Co-Chairman and Founder, Mr. Robert Friedland. Robert over to you, please.
Robert Friedland: Thank you very much to all of you that are participating, today on International Women’s Day on our quarterly and year-end financials. I have to take things to note that it’s rather bittersweet that women rarely star wars, but are suffering from one tonight and of course, the conflict that’s going on in Ukraine is causing a lot of human rights violations and massive volatility in the markets. So it’s difficult to set that aside in one’s minds, where we talk to you about our 25 or 30-year journey to get to these excellent results as we are continuing to build the largest, highest grade, most rapidly growing copper mine in our industry, as well as other significant projects in platinum, palladium, nickel and zinc. I’d like to you give my opening remarks very short and go directly into the highlights and then see if there is anything I can contribute when we get to the question-and-answers. So with that, I’d like to turn this over to Marna Cloete, our President. Marna?
Marna Cloete: Thank you, Robert. I had the privilege of spending a significant amount of time with Robert this past week. And I must say he has the oncoming ability to see the world from a million miles away as a fail blue dot and predict how our actions today may influence our world a number of years in the future. And that is usually why followers take a long position when investing in these ventures, in my mind, there is no copper mine with the potential of Kamoa-Kakula in the world today. And let’s not start speculating on the potential success Ivanhoe’s true passion adding value through the drill bit. Alex will touch on our exploration efforts later in this presentation. Today, we proudly present our fourth quarter results, and I’m always fortunate to present the executive summary as a benefit spoiler alert on what is become during the rest of the presentation. Kamoa-Kakula produced a total of 106,000 tonnes of copper and concentrate in 2021 significantly exceeding our initial 2021 production guidance range of 80,000 to 90,000 tonnes, as well as the increased guidance of 92,500 to 100,000 tonnes for 2021. We promised to hone our forecasting ability as the project matures and operational parameters become more predictable. In addition, Kamoa-Kakula’s Phase 2 concentrator plant is on track to begin operations in April of this year, which we’ll see a doubling of the Kamoa-Kakula’s nameplate milling capacity throughput to 7.6 million tonnes of ore per annum. We also have a debottlenecking program underway to expand processing capacity of our Phase 1 and Phase 2 concentrators by 21%, to a combined total of 9.2 million tonnes of ore per year. The debottlenecking program is projected to boost copper production from Kamoa-Kakula’s first two phases to more than 450,000 tonnes per year by second quarter of 2023. This will position Kamoa-Kakula as the world’s fourth largest copper producer. It is remarkable considering we only started producing mid last year. But before we dive into our quarterly financials, I would like to briefly remind you about our ESG credentials. And just before this call, I received an e-mail from one of our valued investors saying that our safety statistics featured on this slide is actually one of the most impressive statistics of today. And I tend to agree with him. Across all our projects, our operational teams have put in a tremendous effort to enhance our culture of safety. And you can see this in the slide in front of you of thatif it takes the minute to that. We are currently righted level A by the MSCI and we are cognizant of the numerous ESG indices and the potential impact on our reputation. And we are actively working towards improved ratings. Ivanhoe Mines is a firm believer in stakeholder capitalism and our partnership with our local stakeholders is a testament to that. From our community and entrepreneurial development programs, we run at cross roots throughout to our government and community shareholder structures. We believe that all stakeholders should benefit from our mining activities. We have demonstrated this commitment early on even whilst we were still in exploration at our projects. Our carbon agenda is of the utmost importance and the Kamoa-Kakula we are aiming to become the first net zero emitter – carbon emitter among top-tier copper mines. The DRC’s play with an abundance of water and all sizes of our mine, including our smelter will be powered by hydroelectric power. At our Platreef project in South Africa, we are very excited to imminently receive our electric fleet. I think all our mining executives have driven to Platreef already to wait for the delivery. And none of our achievements would be possible without our people. And we commend the resounding efforts of our diverse workforce we worked tirelessly behind the scenes to advance our vision. I will now hand over to David van Heerden, our Chief Financial Officer to take you through our quarterly financials.
David van Heerden: Thank you, Marna, and good day to everyone joining the call today. With Q4 2021 being only the second quarter of commercial production at the Kamoa-Kakula mining complex. I will focus on the results achieved in the quarter and compare that to Q3 2021 as opposed to comparing it to the fourth quarter of 2020. The comparisons of the three and 12 months ending December 31, December 31, 2021 to the same period in 2020 is of course elaborated on – in our MD&A. The highlight of the fourth quarter is undoubtedly the exceptional production results achieved that Kamoa-Kakula. The over 53,000 tonnes of payable copper sold during Q4 was up – was 28% up from the 41,490 tonnes of payable copper sold during Q3 2021. The increase in tons sold together with higher average prices in Q4 and the re-measurement of contract receivables as at December 31, all contributed to the 43% increase in revenue to $489 million for the fourth quarter. C1 cash cost was a $1.28 per pound of payable copper delivered to China for the fourth quarter, but more on cash cost on a later slide. Kamoa-Kakula’s EBITDA for the fourth quarter was $358 million and increased by a massive 53% due to the increase in revenue and a decrease in cost per pound. This slide illustrates how the just mentioned highlights combined for the Kamoa Holding joint inches profit and how it ultimately translates to Ivanhoe share of the profit attributable to the joint venture partners. The revenue of $489 million in Q4 2021 includes re-measurement of contract receivables of $30 million at the end of December, which represents the effective mark-to-market at a copper price of $4.40 per pound. Kamoa-Kakula’s cost of sales for Q4 in 2021 was $131 million in total and $1.12 per pound of payable copper sold while cash cost – C1 cash cost per pound of payable copper produced totaled a $1.28 per pound. After deducting and general administrative of expenditure, the operating profit for only the second quarter of commercial production was $348 million and EBITDA $358 million. Kamoa Holding recorded finance cost of $56 million in the fourth quarter, which is principally the interest on [indiscernible] as well as the interest on Kamoa-Kakula’s equipment finance facility and the short-term facilities available under the off-take agreements. Of the $93 million tax expense, $5 million represents minimum income taxes payable equal to 1% of revenue while the remaining $88 million is deferred tax and does not represent a cash outflow. This is due to the fact that development and expiration expenditure incurred from inception is available for offset against taxable income and Kamoa can amortize these tax – for tax purposes over the first two years following commercial production. The non-controlling interest of $40 million represents the profit attributable to the DRC governments 20% interest in the Kamoa-Kakula mining complex, leaving profit of $158 million attributable to the joint venture partners. Ivanhoe share which equals $78 million for the fourth quarter. If we turn to Ivanhoe’s consolidated results for Q4, the chart and the slide deck starts with a last slide ended with Ivanhoe share profit from the Kamoa joint venture of $48 million versus $78 billion for the quarter. Additionally, Ivanhoe earned interest income of $26 million from Kamoa Holding in the fourth quarter of 2021 for the shareholder loans advanced to the joint venture. During the quarter, the company spent $10 million on the Kipushi project, $6 million on the Western Foreland exploration and $11 million on general and administrative expenditure. Cost incurred at the Platreef project of the necessary to bring the project to commercial production and are therefore capitalized as development cost in property planting equipment. Ivanhoe recognized finance cost of $11 million in Q4 relating to the interest on the convertible notes at the effective interest rate. The $89 million loss on the fair valuation of the financial liability in the fourth quarter represents the change and the deemed fair value of the conversion feature attached to the $575 million convertible notes, which Ivanhoe closed in March 2021. The conversion feature is an embedded derivative financial liability and the fair value changes principally due to the fluctuations on our share price. And the loss is therefore resulting from the increase in Ivanhoe share price from end of September 2021 to the end of December. With completion of the stream facilities in December with a large portion of the Platreef project Phase 1 capital costs now being now fully funded, as well as the excellent results from the Platreef feasibility study. It is now deemed probable that future taxable profit will be available from the Platreef project against which the unused tax credits can be utilized. As a result, Ivanhoe Mines recognized the previously unrecognized deferred tax asset in the fourth quarter resulting in deferred tax income of $74 million in the period. The four mentioned items automatically builds up to Ivanhoe’s profit for the three months ending December 2021 of $48 million with the total profit before the loss of the fair value of the financial liability and the deferred tax income being $63 million for Q4 2021. The cash cost per pound of payable copper produced for delivery to China was a $1.28 per pound for Kamoa-Kakula second quarter of commercial production and down from $1.37 per pound in Q3 2021. The decrease mainly resulted from the mines fixed operating cost being spread over increased copper production with Phase 2 – Phase 1 production exceeding steady state design throughput. Most notably was the decrease in cost of mining per pound as well as support services and G&A. Our cash cost guidance for 2022 is between $1.20 per pound and $1.40 per pound of payable copper. And we are confident that the downward trend will continue with the addition of increased copper production from Phase 2 concentrator expected to further lower the cash cost per pound. Longer-term, we are still looking at projects like the smelter, which may improve cash cost by 215%. C1 cash cost is of course a non-GAAP measure and the reconciliation from cost of sales to cash cost is provided on Page 42 of our MD&A. We have a strong balance sheet and are well-positioned for further development of our project with $608 million in cash and cash equivalence on hand and consolidated working capital of $655 million at the end of December. This was up from the end of September to the receipt of the first prepayment of the streams of $75 million. Our debt of $841 million relates mainly to the 2.5% convertible notes with these only due in 2026 with a possible earlier redemption. Our full cost spend for 2022 is $315 million on Platreef, Kipushi, continued exploration on the Western Foreland and overheads. We also expect to receive the second prepayment of the streams of 2022 – $225 million later this year. The plant capital expenditure for 2022 at the Kamoa-Kakula mining complex, which will be funded from the cash flows from the joint venture that just for the acceleration of Phase 2, and also includes $52 million for the debottlenecking program and Marna mentioned earlier, which will expand the processing capacity of Phase 1 and Phase 2 concentrators by approx 21%. Other expansion group of Phase 2 also caters for sizing up certain infrastructure and faster underground development to ensure we optimize for Phase 3. We have also included direct early works expenditure on Phase 3, and the plant smelter that will be updated on completion of the prefeasibility study. The plant capital expenditure for 2022 at the Platreef project will enable the continued development of the project towards completion of its first phase currently scheduled in the third quarter of 2024, as well as the continuation of the construction of the shop two head frame to allow optionality for the possibility to bring Phase 2 forward. With the finalization of the Kipushi feasibility study and the development plan agreed, we expect to proceed with ordering long lead items and other construction activities once they’re revised and joint venture agreement and signed and financing agreements are in place. It’s also noteworthy that loans Ivanhoe as advanced to the Kipushi project amounted to $528 million at the end of December and then also at Platreef and Ivanhoe had – has funded $655 million to Platreef repayable to Ivanhoe as well as $277 million vendor lines to the – to our partners. I now hand over to Alex Pickard, our Vice President, Corporate Development; and Marna to provide a brief update on the developments on our projects.
Alex Pickard: Thank you, David, and good day to everybody on the line. Looking first at Kamoa-Kakula Phase 1 and Phase 2, our Phase 1 mine and processing plant continued to deliver exceptional results through the quarter and in the first months of 2022. As Marna mentioned, we exceeded our production guidance, which was lifted twice in the quarter producing over 105,000 tonnes of copper in the first seven months alone, an incredible achievement by the Kamoa team. The processing plant has recently been operating at the capacity of over 18,500 tonnes of copper per month and we are also pleased to see copper recoveries are above design at around 87% to 88%. We are looking forward to seeing first production from Phase 2 approximately one month from today and we also anticipate the smooth ramp up for Phase 2 making use of lessons learned from Phase 1. As a result of the performance of the crushing and grinding circuits in particular during Phase 1, we identified $50 million debottlenecking campaign over the next 12 months, which will further increase the combined Phase 1 and Phase 2 production to over 450,000 tons before Phase 3 entered production shortly thereafter. Moving on to Phase 3. The expansion is now well underway, and we are opening up the mining access to the Kamoa ore bodies that will be ramped up to feed the Phase 3 expansion. We are expecting to commission a significantly larger concentrator located close to the existing Kansoko mine by the end of 2024. This will come in tandem with a 500,000 ton per annum direct-to-blister smelter, which will be the largest in Africa. As David mentioned, we expect that the smelter project will further improve the cash cost across the Kamoa-Kakula operation. All of this of course relies on power, and we are now mobilized and working towards the refurbishment of turbine 5 at the Inga II dam, which will occur in line with of the commissioning of the plant. This will provide enough power for Phase 3 and beyond. We will be providing the markets with a comprehensive update on the development plan at Kamoa-Kakula with an updated PFS expected in the third quarter. Now looking at the Western Foreland. We are incredibly excited about the opportunity that we have on our 2,500 square kilometer land package, which is 100% owned by Ivanhoe Mines. This is around seven times larger than the land package that contains all the resources of Kamoa-Kakula that we have today. During 2021, we laid the groundwork with road and infrastructure building and running geophysics and geochemical analysis across the expanded license package. For 2022, we have a $25 million initial budget. This includes a targeted drill campaign, which will start in full in the dry season, which should occur next month with over 90,000 meters of drilling planned across the Western Foreland licenses through the year. But this budget is always subject to expansion. I will now hand back to Marna for an update on Platreef.
Marna Cloete: Thank you, Alex. So, we’ve had quite a busy quarter publishing two feasibility studies in one quarter. So our technical team is quite exhausted. But in South Africa, we have been tenaciously chipping away at making our dreams a reality at our world class Platreef Project. We announced the phenomenal results of this independent feasibility study in February. And our first phase mine is scheduled for first production in the third quarter of 2024. But we have much higher aspirations and we will simultaneously continue with the development of Shaft 2 for commissioning in 2027 to accelerate the Phase 2 expansion to 5.2 million tons per annum. In conjunction with bringing Phase 1 into production. We’ve also secured a stream as David mentioned of $300 million. And we are in the process of negotiating a senior debt facility that could be further extended to cover the development beyond Phase 1. But that is an introduction. I will just ask Alex to take us through the project economics.
Alex Pickard: Thanks, Marna. Just before I begin, I should mention the full results of our 2022 feasibility study are available in our press release, which was last Monday and will soon be published in the technical report on SEDAR and on the Ivanhoe Mines website. As Marna mentioned, the initial phase of production at the Platreef mine is now funded and under construction, which includes a 700,000 tons per annum, mine and concentrator producing around 110,000 ounces of PGMs in concentrate, which is only the first step of this great mine. At the same time, we are also focused on advancing the Phase 2 expansion of Platreef as fast as possible through Shaft 2, at which point Platreef will become among the world’s largest PGM operations producing close to 600,000 ounces of PGMs as well as being a world-class producer of sulfide nickel and copper. The Platreef is an exceptionally large thick ore body, which can be mined using highly productive and highly safe method. As a result of this, as well as the base metal endowment that we have, we expect Platreef to be one of the lowest cost producers in the world at around $500, an ounce, which compares to today’s basket price in excess of $2,500 an ounce. In terms of the overall economics, we think that Platreef demonstrate exceptional returns for what is a multi-generation mines of its incredible size and cost profile. Platreef is a unique mineral endowment with a huge amount of scalability beyond the feasibility study. And we believe that in today’s copper price – sorry, today’s commodity price environment it is greatly undervalued within Ivanhoe Mines portfolio as demonstrated by the NPVs and IRRs that we show here at spot prices. I’ll pass back to Marna to take you through the update of Kipushi.
Marna Cloete: Thanks, Alex. Well our team were focusing on bringing to Kamoa-Kakula into production over the past two years the rest of us who were based elsewhere, didn’t sit by ideally, and we’ve spent a lot of time in Congo working with our partners Gécamines to – out a unique partnership agreement to bring Kipushi back into production. And we were very excited to release the results of that term sheet that we’ve reached or the agreement that we’ve reached with Gécamines. And the stage is now set for us to bring this mine back into production within 24 months from the construction decision. Currently our joint venture teams actively working on financing alternatives for the development of the projects, and the team on the ground has already started with some early works with zinc trading me record high and inventory at the historic lows. The Kipushi project has the potential to be restored to its former glory, just wearing a new code made of zinc instead of copper. So with that, as an introduction, can I ask Alex to please also take us through the project economics for Kipushi that we recently published? Thanks, Alex.
Alex Pickard: Thanks, Marna. Again, the full results of our 2022 feasibility study for Kipushi were just published a few days ago on our website and on SEDAR. Kipushi is a relatively simple project compared to Platreef and Kamoa-Kakula, which really requires restarting the underground mining infrastructure that we have, and constructing a small 800,000 ton per annum processing plant on surface. As Marna mentioned, this can be achieved in under two years from the construction decision. But despite this small scale, we might exceptionally high grades at Kipushi around 35% zinc in situ. And as a result, we will still be one of the biggest producers of zinc in the world at over 240,000 tons per annum. Another benefit of the incredible grades that we have is low cash costs and at $0.65 Kipushi will be in the first quartile of the industry. And as well as this, the capital cost is exceptionally low for a mine of this scale because we have the benefit of a huge amount of existing underground infrastructure, which has been newly refurbished by the KICO team. As a result, I think it’s quite clear that Kipushi has exceptional economics at consensus prices and even more so at current prices where we see an NPV of close to $3 billion and an IRR after attacks of over 80%. So, we are very excited to move this project forward as fast as possible. I will pass back to Marna for her closing remarks. Thank you.
Marna Cloete: Thank you, Alex. So, we commonly get the questions. So, what’s next for Ivanhoe Mines. You have a lot on your plate. I think they would doubt whether we could do it. When we attend conferences nowadays, we walk around very proudly because of what we achieved at Kamoa-Kakula. I think we now have the credibility under the belt, and we are very, very excited about what our team’s going to achieve at Platreef and Kipushi mix. Our exploration geologist are in the league of their own. It’s the same set of geologists that we used at Kamoa-Kakula, and I think Ivanhoe Mines, not, I think I know, Ivanhoe Mines will be the world’s next diversified major minor with a difference. We are responsible miners who care about the communities that listen to us who work with our partners. We are excited about the change we bring in the jurisdictions where we operate and it’s easy to do so with the type of ore bodies that we are developing. I’m very excited about our fourth quarter results, almost going into our first quarter results for this year. Thanks for joining today. I will now hand back to the operator to open the line for live Q&A. Thank you.
A - Bill Trenaman: Okay. We well, we wait for the operator to allow incoming phone questions. It’s Bill Trenaman here, and I will ask some of the questions that have come in via the webcast. And Robert, I think this one is probably best answered by you. We’ve got a lot of questions regarding Western Foreland and the kind of the summary would be, do you think Western Foreland will progress as a joint venture or stand Ivanhoe basis?
Robert Friedland: It’s just after midnight here in Singapore, and a subject Western Foreland at the Western Foreland could have a week of discussion, but at the moment, I think it’s better for us to say less and see what we can find. It’s fair to say that we’ve been in approached by a number of major industry participants and sovereign wealth funds. Very interested in joining us in the development of the Western Foreland, this has been apparent that from an ESG perspective, the logical place to be mining copper on this planet is the Democratic Republic of the Congo. It’s very important for the average observer to understand that the geology of the copper that we’ve discovered in the Western Foreland of more similar to an oil field than it is to for free copper. The world’s largest mineral discovery was the discovery of the Ghawar oil field in the Eastern Forelands of Saudi Arabia. And actually the geology that we’re looking at in the Western Forelands of the Congo is remarkably similar to the setting of a major sedimentary oil field. So this is a basal level event. There are essentially four critical components that have to coalesce to create a Kakula ore body. If three of those components out of the four come together, you get something more similar to a Kamoa ore body. The very scale of this project requires a lot of infrastructure development. And at the moment we’re carrying this project completely as an Ivanhoe Mines led initiative. Obviously we don’t negotiate in public. It is very possible that we’ll bring a partner on for the development of this project at any point, but at the moment, while we do the fundamental work and continue to consider increasing our land holdings in certain areas, we’re doing this entirely on our own. I hope that answers your question, Bill.
Bill Trenaman: Thanks, Robert. Operator, can we now turn it over? I believe we have some incoming phone questions from analysts. Thank you.
Operator: Yes. Thank you. Thank you so much, sir. [Operator Instructions] We will take the next – the first question from Lawson Winder from Bank of America Securities. Your line is open. Please go ahead.
Lawson Winder: Yes. Good morning, afternoon, good evening. Thank you for the update. And congratulations on a remarkable first year at Kamoa-Kakula. I would like to ask about the cash cost guidance. So it is noted in the release through 2022, C1 cash costs are expected to decline from the Q4 2021 level of a $1.28. And I mean, that stands out as remarkable to me as it implies, you’re already expecting cash cost to be at the lower half of the 2022 guidance of a $1.20 to a $1.40. And so I just appreciate to get your thoughts on the extent to which Kamoa-Kakula is experiencing any cost inflation and whether beating the low end of the 2022 to cash cost guidances within the realm of possibility at this point? Thanks very much.
David van Heerden: Hi, Lawson, This is David van Heerden. So, I definitely think the lower end of the cash cost range is within the realm of possibilities we are very hopeful that we’ll achieve that. And very confident we’ll be very close to it later in the year and thinking of cost inflation and we have experienced some matters of the lost inflation that is included in the thinking on our guidance range. I wouldn’t say it’s material and definitely not material for Kamoa-Kakula. And having said that the recent increase in fuel prices, et cetera would we do foresee that impacting on Kamoa-Kakula, but still confident of getting very close to the bottom end of the range.
Lawson Winder: Okay. That’s excellent given the time constraint. I will just leave it at that. Thank you very much.
Operator: We will take the next question from Andrew Mikitchook from BMO Capital Markets. Your line is open. Please go ahead.
Andrew Mikitchook: Thank you very much and congratulations on strong close to 2021. My question, I think you will go towards David and the finance team. I think you’ve already mentioned that you’re expecting cash flows at Kakula, Kamoa to cover costs both expansion and sustaining at that mine for the other two principle assets, Platreef and Kipushi. What portion of those costs would we – should we expect are going to be covered by the financing that’s already been announced or being pursued when we look at kind of the 2022 total guidance for those numbers?
David van Heerden: Hi Andrew. So for Platreef the funds we expect to received from the stream would we expect to exceed the expenditure for the year. So some of that would obviously be available for the 2023 spend. And we are working on securing funding for the reminder of the Phase 1 capital, as well as continuing to work with senior lenders on the Phase 2 expenditure. For Kipushi and we are working on funding solutions for that as well. We do expect to spend quite a bit of this year’s expenditure ourselves. But as I mentioned earlier, that that those funds will effectively be funded by Ivanhoe as a loan to Kipushi. And so we will fund 100%, but fund that to Kipushi at a loan of LIBOR plus with an interest rate of LIBOR plus 6%, and hopefully able to secure funding and time for Kipushi to be funded from a financing facility from next year onwards.
Andrew Mikitchook: Maybe just as a quick follow-up, David. So it’s fair to say that there’d be a modest draw on the cash balance at the corporate level between the issues we talked about, and other corporate costs, but probably not a significant one. Is that a fair characterization?
David van Heerden: Yeah, that’s fair Andrew. We expect our cash balances to exceed $500 million at the end of this year. And that’s even without factoring in any fund received from Kamoa-Kakula. So probably be higher.
Andrew Mikitchook: Great. I’ll let other people follow up with questions. Again congratulations and thank you very much.
Operator: The next question is from Orest Wowkodaw from Scotiabank. Your line is open. Please go ahead.
Orest Wowkodaw: Hi, good morning. And I guess good evening overseas. The question about the debottlenecking program at Kamoa-Kakula, your release talks about increasing the throughput for Phase 1 and Phase 2 to 9.2. And I’m wondering how we should think about the ultimate throughput now, when you start including Phase 3, do you see the combined throughput reaching north of 19 million tons, or I’m just wondering what the actual final number might look like when we incorporate Phase 3 here?
Alex Picard: Perhaps, I can take that one Orest. It’s Alex here. And thanks for the question. No, so you, look, you raise a good point and this will be addressed to some extent in the Q3 PFS, which will really outline the big picture development plan for Kamoa-Kakula. I mean, in terms of the phases beyond Phase 1 and Phase 2, as you say, we’ll get up to what to 9.2 million tons per annum. We’ve said that Phase 3 will be bigger than each of those Phase 1 and Phase 2 sizings. But we will come back to you in terms of how much bigger that will be. In terms of the big picture another factor that we have to take into consideration here is the copper price. I think when we put together a 19 million ton per annum plan, we were looking at a $3 copper world. And today we’re looking at a significantly more bullish copper price environment. So from our point of view, we would like to continue expanding Kakula bigger and faster. And if you look at your reserves and resources from a sort of $4.50, $5 copper point of view, it obviously increases very, very significantly. So you have more than enough resources within the Kamoa-Kakula joint venture to feed a bigger concentrator facility. But, I think we will still maintain our approach, which is to do in bite size chunks on a modular basis folks focusing on opening up new mining areas in order of the best grade and bringing on stream concentrators, that effectively use the same technology in the same process flow sheet as Phase 1 and Phase 2, but perhaps in slightly bigger sizes.
Orest Wowkodaw: Thanks, Alex. Does that imply then, we should anticipate beyond Phase 3, we’re going to hear about Phase 4, Phase 5 down the road?
Alex Picard: Yes, that will be captured within this PFS. So it won’t just stop at Phase 3, but obviously Phase 3 will be what we have kind of committed to today. Those other phases, may be bigger in future kind of like the decision we made going from Phase 2 to Phase 3, that didn’t necessarily reflect what we had in our last PEA, but we made the decision based on the market conditions that we see today.
Orest Wowkodaw: Thank you very much. That’s perfect.
Operator: We’ll take the next question from Greg Barnes, TD Securities. Your line is open. Please go ahead.
Greg Barnes: Yes. Thank you. Question for Alex as well, just on the Western Foreland exploration project this year. Maybe you mentioned it Alex, but I didn’t hear a number in terms of meterage planned in drilling and where you think that could go, going into 2023 even?
Alex Picard: Yes, so I did mention there’s 90,000 meters of drilling overall, Greg. About 50,000 of those meters are shallow drilling. So sub 150 meters. So that’s really drilling out targets that we’ve or the highest priority targets, I should say that we’ve identified through the geophysics and the geochem work that we did in 2021. And then there is a further 40,000 meters of more stratigraphic drilling, which is sort of testing the further most reaches of the Western Foreland license in terms of the underlying stratigraphy, looking for those key ingredients to find a Kamoa-Kakula.
Greg Barnes: No, that’s specific targets that you’re focusing on Alex one, two, three, or are there numerous targets beyond four or five?
Alex Picard: No, I mean, there are always numerous targets. And there are priority rankings in terms of what we’re most excited about, but the good news now is that before last year, our targeting was always limited by the fact that we didn’t have the infrastructure into necessarily reach the most interesting places based on the geological data. Whereas now we have that spine road that, that crosses the entire license package. It makes it much easier to get drill rigs in and test, some of the higher priority areas.
Greg Barnes: Okay. Thank you, Alex.
Operator: Next question from Dalton Baretto from Canaccord. Your line is open. Please go ahead.
Dalton Baretto: Great. Thank you guys. And maybe this questions for Robert. There’s been some noise recently around Tenke Fungurume and a dispute between Gécamines and China Moly. And I’m just wondering how much of this, is it asset a specific issue versus kind of a more broad based issue, and then b, this recent deal for Kipushi that, stage transfer of ownership to Gécamines to what extent does that insulate Kamoa-Kakula from any disputes with the state? Thank you.
Robert Friedland: Well, to begin with we don’t have any disputes for the state, and we make our own reality because we are a the absolute leader in the Democratic Republic of the Congo in treating our local and national stakeholders for the greatest of respect, and because we employ women and young people and empower them, and because we’ve scored so highly on ESG characteristics, we do not have any disputes of the state. We’d expect that to remain. In fact, we’re very happy with the sport we’ve had with the governor of Lava province the new Prime Minister in the country, Prime Minister, Sama supported the of the President’s office, right through the government top to bottom. I’d remind you that the Kamoa-Kakula license is held by Ivanhoe Mines. We are the landlord. We acquired that land under the 1905 mining law. We stated it and acquired it. We do not have a landlord, the issues around Tenke Fungurume are not for me to comment on other than to point out the obvious that Tenke Fungurume has a landlord, that landlord is Gécamines, and it’s not uncommon for landlords and their – and the people that rent from them. They have their disputes, but it’s certainly not a national issue. There’ve been a number of changes politically in the country, all for the better the we’ve seen the passage or the consolidation of Félix Tshisekedi’s visionary approach towards the gradual, but very real elimination of corruption and bureaucracy in the government. And looking historically having been there since 1996, there’s just been an enormous amount of progress, in the business climate in the Congo. And that’s represented by everybody on the planet wanting to be there. Historical disputes about what agreements were reached in the past are not unknown resources to go back to the colonial era assets like Tenke Fungurume have been around for 100 years, and there’s, some less than transparent history about what transpired or plenty of room for argument, but Kamoa-Kakula was just a clean sheet of paper. We entered the country with 50,000 square kilometers of expiration ground. It had never been touched that ground was covered with 20 meters or 30 meters of sand that blew in from the Kalahari desert. It took a 20 year expiration effort to find this deposit or system of deposits, which actually is the largest and highest great copper bearing system in the entire Copperbelt, which also goes in Zambia. So, I think it’s well understood that our deep and longstanding commitment going back decades, which resulted in this discovery and then this remarkable sort of clean sheet design of a mine stands as sort of the beacon for foreign investment in the country and has attracted interest from virtually everybody. It would be hard for you not to think or not to be able to name one of the major mining companies that have called us with congratulations and amazement and how fast this mine was brought on and how well it was brought on. It was only a little over five years ago that we just discovered Kakula. And so we never would’ve been able to do that without a supportive government. Believe me. You’ll see other mines in Chile for example, that are five or 10 years behind schedule and have had massive cost of runs. You’ve seen that same phenomenon in Mongolia, just ridiculous cost of runs and delays by comparison. And so I think the last thing you need to worry about are the Congolese people. And certainly any disputes that are involved with other, other operations are completely irrelevant. I might add that Barrack sort of bit their future on the development of a magnificent gold asset in the Northeast. And there again, Mark Bristow’s team has made their own reality. They’ve gone into a very more location and built a spectacular mine. So, I think you make your own reality in the developing world and what distinguishes other mines is it’s genuine as opposed to optical commitments to the ESG characteristics that become so fundamental to all of the investors. So there’s nothing with our history that bears any relation whatsoever, any issues. And thank you for grooming.
Bill Trenaman: Thanks, Robert. We’ve got a number of questions, inbound questions on the webcast with respect to a supplemental or additional listing for Ivanhoe Mines, given the extremely strong share price performance over the past year. I’m not sure, if you want handle this Robert or Marna or Alex, can you give some color as to what Ivanhoe’s plans are going forward?
Robert Friedland: I don’t think we really want to publicly speculate about where we will list or when, or why of course, or it means the possibility the previous Ivanhoe mines, which went into Mongolia was listed under the New York Stock Exchange. That’s certainly a possibility in the future, but I don’t think it’s appropriate to have a selected disclosure on that subject. For the moment Americans can easily buy our shares on a secondary listing in the United States, and we have shareholders all over the world and there’s liquidity is building in the shares as the market compensation increases, but it is certainly possible that we’ll seek additional listings.
Bill Trenaman: Great. Thanks. Maybe a question for either Alex or David can you please provide a estimate of the timing and dollar amount of possible shareholder loan repayments we expect from Kamoa-Kakula in 2022?
Alex Picard: I’m happy to take this one Bill but I don’t think we should necessarily be providing an estimate in terms of a dollar amount. I mean, it’s obviously subject to a great deal to the copper price. I mean, what I will say is that there will, there will be no repayments, at least until we get Phase 2 up and running in – capacity. And then I think you can obviously, you know, you can obviously see that Phase 1 right now is doing a run rate of call it $353 - $360 million of EBITDA. There’s potential to double that with Phase 2. And you contrast that to what our capital commitments are, and you realize that there should hopefully be a certain but it will only come after Phase 2 is in production, and we can’t really give an indication of how much that will be today.
Bill Trenaman: Great. Thanks Alex. I think we have time for one or two more questions before we wrap up. So we’ve got a couple questions of a similar vein on the Platreef given the extreme movement in copper and other commodities that the Platreef will be producing. Is there any chance to fast track Platreef’s production to capture some of these incredible commodity prices we’re seeing right now?
Robert Friedland: We are fast tracking Platreef. We’ve been moving as fast as possible for the last 25 years discovering and developing the largest precious metals development in the world. It always sort of amuses me to get these kinds of questions and it’s really important to actually physically go there and get the idea of the scale of what we’re talking about. If you can picture going down an elevator shaft that’s going to be 10 meters in diameter and going down to a reef that’s as thick as an eighth story building and watching that reef go for mile after mile after mile and seeing that fully mechanized where nobody’s going to be lifting anything heavier than a pencil. In an air conditioned cab with a hanging wall that’s rock solid and very safe, basically a rock factory. This takes a lot of work, a lot of development work. So the beauty of phasing these projects, is that we’re really engaged, uplifting our labor force and training them to a very high level. They’re becoming at least dental technicians, if not dentists. So you start by training people on the baby mine just like you had training wheels on your bike, and once you get stable, you go bigger. We’ve announced our intention today to accelerate Shaft 2. But of course the nickel price went hyperbolic. I think that’s sort of a one or two day phenomenon, but nickel is a very, very important metal for the future as our platinum and Palladium. So the longer we have sustained high metals prices, the greater the many of options, we have to further accelerate the project. I’d like everyone on this call to understand that the Platreef goes basically forever. There’s about 150 million ounces of metal drilled off in various categories, but it’s still open in every direction. And there are numerous other nickel phase mineralized bodies that are much closer to surface. So if the nickel price remains very sustained, we think probably we have the largest nickel endowment on a planetary basis at the Northern Limb of the Bushveld around our holdings. We actually have work that’s been done by our geological team, contrasting the nickel endowment in area of being greater than [indiscernible] So it’s always possible to seek more Shafts. If a sovereign wealth fund wants to get involved if unconventional investors come forward, we could seek a number of Shafts, but right now we like working in a steady modular fashion, a fast track on Phase 1, get everybody underground and show them that we’re in production and then develop the first, super large mine. And we have to do this in the context of the continuous expansions at Kamoa-Kakula and the putting the production of Kipushi. Obviously, if you start modeling this, there are massive cash flows that are potentially available in the future to grow over the mines into a world class major mining company. And right now we’re either the world’s largest junior mining company, or we’re the world’s smallest major mining company. We prefer ladder and we’d invite everybody to pay attention to Platreef. It’s, it’s very unusual to have a poly metallic ore body because as you well know, all metals don’t move in Tandem. Recently palladium has gone crazy north of $3,000 an ounce or nickel has gone crazy. And maybe the platinum is relatively quiet in the future. It may be platinum that catches up, or maybe the gold in the deposit or the copper in the deposit. Basically you have a self hedged portfolio of metals in the Platreef, and many people ask me, what’s my favorite discovery or favorite project? Unequivocally, the world’s largest precious metal system Platreef is the best project I’ve ever seen. It just takes more capital and takes more time to get a hundred year Tier 1 mine up and running. But once it gets started, it’ll be a mine for our children and our grandchildren. And we urge all of you to come take a look at it. We’re going to be speaking Endava, which I believe is in May this year. And shortly after that, we will select a few institutional investors to come and take a look at Platreef and Kamoa-Kakula. So if you’re interested, I’m robert@ivanhoe.net, you can contact Bill Trenaman and we’ll see what we can do to show you how, what the scale of these operations, really hard and then you’ll understand why good things take a little bit of time.
Bill Trenaman: Thank you, Robert. I thought that was a perfect way to end to these call. And I would like to thank all the shareholders and analyst and investors, who joined our call today. And we look forward to providing you with frequent updates as we continue the growth into what Robert described as the, the next world scale diversified mining company. And thank you. I am billtr@ivancorp.net. Please feel free to reach out to me by email or by phone call and we’ll answer any questions that we did not have a chance to get to you today. So thank you. And I wish everyone either good morning, good afternoon, or good evening,
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.